Operator: Good morning ladies and gentlemen. Thank you for standing by and welcome to the Scripps Fourth Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Later there will be an opportunity for questions and answers with instructions given at that time. As a reminder, today's call is being recorded and will be made available for replay beginning today at 11 AM Eastern Standard Time and running until March 11, 2016 at 11.59 PM. To access the AT&T Executive playback service during that time, please dial 1-800-475-6701. Internationally you may dial area code 320-365-3844 and the access code is 385050. The numbers again are 800-475-6701 and area code 320-365-3844 with an access code of 385050. It is now my pleasure to turn the conference call over to your host, Head of Investor Relations E.W. Scripps Company, Carolyn Micheli. Go ahead please.
Carolyn Micheli: Thanks, Alan. Good morning everyone, and thank you for joining us for a recap of The E.W. Scripps Company’s Fourth Quarter Results. A reminder that our conference call and webcast includes forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. You can visit scripps.com for more information, such as today's release and financial tables. You also can sign up to receive e-mails anytime we disclose financial information and you can listen to an audio replay of this call. A link to the replay will be up there this afternoon and will be available for a week. We will hear first this morning from Scripps’ Chief Financial Officer, Tim Wesolowski, then Brian Lawlor, who heads our Television Division and Radio, followed by Adam Symson, our Chief Digital Officer and finally from our CEO, Rich Boehne. Also, in the room are Radio Division Head, Steve Wexler and Controller and Treasurer, Doug Lyons. Now here is Tim.
Tim Wesolowski: Good morning, thanks for joining us today as we report our fourth quarter results and close out 2015, which has been a productive and transformative year for Scripps. I’ll spend a few minutes talking about highlights for the fourth quarter, our year-end cash position, capital allocation matters and our 2016 guidance. I’m not going to spend a lot of time repeating the numbers for the fourth quarter. You can see them on our press release. We’ll be filing our Form 10-K later today. I did want to touch on a few highlights and Brian and Adam will be providing more color in a few minutes. And as I talk about our results and our guidance, I’ll be using comparisons to our 2014 adjusted combined numbers to help you better understand the underlying trends in our business. The adjusted combined numbers give a picture of the 2014 and 2015 years as though we had merged in the Journal and Granite broadcast assets by the beginning of 2014. Our assumptions in these closures are also included in the supplemental information that begins on page E7 of today’s press release. I encourage you to read those very carefully. So today, we’ll use those to compare fourth quarter and year-end results on an apples-to-apples basis and meanwhile you can find the as reported results in today’s press release. In the fourth quarter our television groups total revenue performance was very much in line with the guidance we had provided, although political guidance was 4 million and we came in at 2 million as spending in some of the stake races was wider than we expected and of course those numbers will be rounding errors as the 2016 political season truly kicks in. TV expenses were about 2 million higher than our guidance as we accelerated spending to maximize our opportunity to capture political advertising revenue this year. We also accelerated some normal maintenance at some of our properties. In our radio group, October and November revenue tracked closely with our expectations, but there was a slowdown in December across most of our markets. That one month decline caused radio revenue to be down compared to our guidance, but things are looking better here in the first quarter. We’re reporting on a 1% decline in Q4 revenue compared to the adjusted combined numbers. There’s a bit of noise including some political revenue in the 2014 numbers. Ad sales were really down about half that amount. Expenses in the radio group were down in line with our expectations at about 5%. Fourth quarter results for our digital segment include Midroll, the podcasting company we acquired in July. Due to both the acquisition and strong organic growth, our digital revenue was up about 50% year-over-year. Our fourth quarter consolidated results included non-cash charge of about $46 million from the lump sum pension plan buyout which we announced last quarter. Before I get to our guidance, I’d like to touch on the balance sheet in a few capital allocation matters. We closed the year with more than $100 million in cash and total debt of about 400 million, so that’s a net debt of about $300 million or net leverage of only about two times on a two year blended basis. We repurchased about 1.2 million shares, since we reinstituted our share purchase program in the second quarter. In 2015, we returned $75 million of capital to shareholders including the $60 million dividend as part of the Journal transaction. We have about $75 million of share repurchase authorization remaining. We provided both first quarter and full year 2016 guidance in our press release. I believe we gave you all the information you need to feed your models, but just to bring it all into focus, here are the three big drivers of our 2016 financial performance, growth in retrans revenue, growth in retrans after network compensation and incremental political advertising in this presidential election year. Over the past six months or so, we’ve been saying that we expect a 50% increase in retrans revenue and a 50% increase in retrans after network comp in 2016. We’ve also been saying, we’ll be disappointed if 2016 political revenue didn’t exceed the 143 million combined Scripps, Journal and Granite amount in 2012. The full year guidance we provided today is very much in line with what we’ve been saying for the past six months. Our guidance includes more than $150 million of political revenue and as you know, there can be a great deal of variability in political ad spending depending on how the races play out. Our guidance for retrans revenue is about $220 million, network compensation, which is included in our program and program license expense line is consistent with what we’ve been saying about the net increase. In terms of first quarter guidance, we said we expect total television revenue to be up 11% to 13% and that includes core TV advertising of flat to down a bit depending upon how the dollars shake out between core and political. Also on the first quarter guidance, I wanted to highlight a few wrinkles. We expect shared services and corporate expense to be up about $4 million versus the run rate for the rest of 2016, primarily due to the timing of non-cash stock compensation expense. That expense fell in the second quarter last year because of the closing of the Journal merger. And while we expect an increase of about 50% in both retrans and the retrans after network comp for the year, we’ll see the smallest benefit from that in Q1 due to the timing in terms of the contracts. You can see our full guidance in the release, but there are just a couple of other items worth noting. Our cash flow will be very strong, because we have modest debt repayments, pension contributions, and expected tax payments this year. And now here is Brian to talk about our broadcast business.
Brian Lawlor: Thanks, Tim. Good morning everybody. Since we last spoke in November, we have successfully negotiated a new retransmission agreement with Time Warner Cable covering our 3 million Time Warner and bright households. As most of you are aware, this has been a challenge. We have had to manage since the split of our company in 2008. The new agreement is the primary driver of our 50% increase in both retransmission revenue and what we keep after network comp. That puts us at about $220 million of retrans revenue compared to $147 million in 2015. The other major negotiation we completed since our third-quarter call is with MBC. We renewed our affiliation agreement covering all five of our MBC stations. With MBC complete, we now have relatively new agreements with all four of the big four networks covering a large majority of our major network stations. This smooth renewal of these affiliation agreements reinforces the strong partnerships between the major broadcast network and their local affiliate station groups. Together we promote high quality prime time network programming in our local markets. We share coverage of news events across the country and we build consumer-focused digital brands. Moving onto 2016, this year’s presidential election marks the high point of our four-year election cycle. The open race is projected to bring record election spending across the broadcast TV industry including at Scripps. It's still too soon to know exactly how all of this will shake out. We have guided to greater than $150 million in total political advertising revenue this year, but political ad spending quickly moves when the races get tight. That can work for us or against us. In the presidential field, having a large number of candidates can slow spending if the primary season drags on too long. In that case, campaigns follow state primaries into May and June. In our perfect scenario, we're looking for the primary process to be largely complete after the primaries on March 15. That will mean a shift to general election strategy by the middle of the second quarter, which should bring early spending to the 10 key presidential states. We have stations in six of those 10 states. In addition to the presidential race, we have five competitive U.S. Senate races in our markets. We have 11 US house races and two gubernatorial races. As a reminder, Scripps handles political different than most of our peers with the Washington DC sales office that is uniquely positioned to capture money across all of these races and move quickly to get campaign and pack advertising on the air. It's hard to believe that it's been 11 months since our merger with the Journal TV and radio stations. 2015 was a very busy year at Scripps as we worked to advance all of our technology, our workflows, our systems, processes, across all of our new stations. Our stations are all focused on creating the highest standard of journalism across all platforms and providing the largest possible audience for politicians and local advertisers in 2016 and beyond. And now let's talk about the radio division. Local radio revenue, which accounts for more than 85% of total radio revenue fall short of expectations as the result of softening ad market in December. Despite that disappointing month, radio had a real good as it tracked on plan most of the year delivering solid ratings and revenue numbers across our markets. The division also did a good job with expense management largely accomplished through lower employee costs. We continue to like the creativity, the spirit, and localism of our radio teams, as well as consisting cash flow this division delivers. Finally, our radio group was honored to be recognized recently by the Academy of Country Music. Our Country and News Station KTTS in Springfield, Missouri was named small market station of the year. This is great validation of its work to serve its community and the Scripps radio groups’ focus on appealing local audiences. And now here is Adam Symson with highlights from digital.
Adam Symson: Thanks, Brian, and good morning everybody. As I begin, I want to remind you that unlike some of our peers, the Scripps digital segment is the portfolio of various local and national digital products. As we look ahead to 2016, we expect about 65% of our revenue to come from local market related products and services. The rest of the revenue will come from our national brands. And I will talk more about those in a moment. Looking back at the full year 2015, total digital revenue was up 50% over 2014 on an adjusted combined basis. Our results were booed by more than a full quarter of revenue contribution from our podcasting company Midroll. We also saw gains driven by our strategies in the local digital marketplace tied to advertising sales and data driven direct from consumer revenue streams. Breaking that down a bit, let's focus on the local marketplace first. During 2015, we saw strong year-over-year revenue growth in our local market business. Our 24 local TV markets served up 1.5 billion total page views in the year, which represents a compelling platform of scale to local, regional, and national advertisers. During fourth quarter, local revenue was up more than 17% on an adjusted and combined basis. For the year, local digital revenue was up 19%. That growth was driven by our aggressive local sales strategy along with the sharp focus on data-driven consumer and programmatic revenue. Fourth quarter was terrific for programmatic as we grew our rate by 34%, which resulted in 85% year-over-year revenue growth. As a reminder, programmatic advertising is the sale of display advertising to national and regional advertisers in a real-time option. It’s simply the way rational and regional digital business is being placed now and we're reaping the rewards of our focus. On the national digital side, our businesses include over-the-top video news service Newsy and podcasting company Midroll Media. Since we last spoke, Newsy has added a number of new distribution and syndication partners. Its content is now available in on demand and linear formats on OTT services including Apple TV, watchable from Comcast, Pluto TV, Roku, Amazon Fire TV and Google Chromecast on connected televisions through Zumo on all major smartphone platforms and of course at newsy.com. And coming soon we'll be announcing Newsy’s live launch on Dish’s Ring TV. We are seeing strong traction with the over-the-top audience in this emerging ecosystem, especially with millennials. Apple TV even names Newsy the best of 2015 app. We project Newsy will draw more than a billion video views this year and average session link on some of our most important OTT platforms like Roku and Apple TV is currently exceeding 30 minutes. While it's still early in the development of the marketplace and our business, we're seeing the kind of high demand and high rate from advertisers that we are looking for. We are also gathering meaningful momentum at Midroll. Midroll owns and operates its own podcasts. It sells advertising for well over 200 other top podcasts and runs a podcast platform called Howl with the direct from consumer subscription base. Since the start of the fourth quarter, Midroll has added big new podcasts to the catalog, including former ESPN commentator Bill Simmons and musician and actress Issa Rae. But now we have the top parenting podcast the longest shortest time. From the momentum, we are seeing with audiences and advertisers, we believe that podcasting will be one of the important mediums for entertainment and journalism for the future. During the fourth quarter of 2015, Midroll’s podcasts were downloaded an average of a 113 million times per month. More recently, Fast Company named Midroll one of its 10 most innovative companies in the media and marketing and advertising categories. This is greatly reinforcement of what we already knew. Podcasting is a burgeoning business that is capturing audiences with engaging, entertaining, and informative content of our all kinds. Now before I turn it over to Rich, I want to draw your attention to an important investigation our teams at WCPO Digital and the Scripps Bureau in DC did together over the last week into the Department of Veteran Affairs and the Cincinnati VA Hospital. Scripps is committed to being an important voice in the American conversation through impactful enterprise journalism and there is already significant fallout from our reporting. We expect things to get better for veterans seeking medical care as a result. You can read more about this important investigation at WCPO.com. And now here is Rich.
Rich Boehne: Thanks Adam. That is a great important story, I hope people get a chance to go and take a look at WCPO.com. Good morning, everyone. Much of what you just heard from Tim and Brian about the strong cash flow through the broadcasters can deliver through their natural cycles. We have aggressively prepared the enterprise to take the fullest advantage of 2016. Our local on air and digital platforms will play an essential role in determining who will be the next President of the United States as well as determining who would join the Senate, the House and several key Governors’ mansions. As Broadcasters and local news organizations, we venture into this election year with both weighty responsibilities and as you all know tremendous opportunity for our owners. In addition to the promise of political advertising we have quietly and successfully negotiated Scripps into a position to dramatically increase our retransmission revenue and the dollars that flow from there to the bottom-line. Thanks to these three big financial propellant system outlined earlier, we step up the strong cash flow growth in 2016. At the same time though we are looking beyond the election year building value through quickly evolving digital brands both local and national. As Adam talked about, we’ve built market leading digital brands in the local markets where we expect strong organic revenue growth to continue. In addition to that incremental revenue our digital brands play a key role in our on air success, building audiences across all platforms, that touch local consumers. More by the day, we are seeing evidence that long-term success in local markets requires a holistic strategy. We are also building value in two growing market places with national scale, over-the-top television and podcasting. In both cases we moved ahead of the curve making improved investments ahead of an expected acceleration in the development of audiences and revenues. Our acquisition of podcasting company Midroll in 2015 was a good example of that strategy. Podcasting has expanded significantly in just month since we entered the business. Our organic growth has been traffic and we continue to look for opportunities to leverage our investment by pooling in more talent, more shows, more revenue streams and technology partners to increase our share of the podcasting market and further deliver attractive returns on investments. On the video side of over-the-top, we are rapidly expanding potential audience of Newsy through a series of carriage agreements with the leading services which will soon include one of the strongest OTT brands selling TV. Our aggressive strategy shifted Newsy in 2015 taking advantage of what Newsy can deliver in terms of high-quality programming for younger audiences, gives us a meaningful opportunity to build value and rapidly growing OTT marketplace. We have assembled this opportunity affordably and skillfully and you’ll be hearing much more about Newsy in the months ahead, as viewership begins to build and we take advantage of this wild election year to define Newsy’s brand for its target audience. We are building value on our digital segment through both modest acquisition and investment through the P&L, so far so good. We backed this up with one of the strongest balance sheets in the industry, with net debt under two times cash flow and projected strong cash flow. For this year we have the financial ohms [ph] to acquire attractive businesses and buy them over the business that we already know and love through share repurchase. Thanks very much for dialing in this morning, and operator, I think we are ready to take questions.
Operator: [Operator Instructions] And our first question will come from the line of Marci Ryvicker with Wells Fargo. Go ahead.
Marci Ryvicker: Thanks. You commented on a slowdown in radio in December. Can you talk about what caused it, how you started the year and maybe how radio compared to TV towards the end of the year and into the first part of the year?
Steve Wexler: Hi Marci, its Steve Wexler I will talk a little bit about December as Tim mentioned at the outset October, November we were actually tracking real well, in line with our guidance. December clearly did not and that’s really the story for the quarter. We have seen moderating on that since December, March looking little better than February and February little bit better than January. In terms of how the tracts with TV I’ll defer to Brian to comment on that, but December was really the story for us in that fourth quarter.
Marci Ryvicker: I’m sorry was it specific to ad category or was it broad-based or a region?
Steve Wexler: Yeah, it was broad-based. Auto was actually up for us in the quarter, so I can’t point to one category and say that was the culprit. It was fairly broad in the month, it was most across most of the market, our Tucson market was an exception performed better, then the market in Omaha also performed better than the market in fourth quarter but we had shortfalls in the others.
Brian Lawlor: Hi Marci, it’s Brian. It actually was not that different radio’s performance than TV. We obviously reported same station plus one. We actually had a lot of momentum in the first half of the quarter obviously we are displacement so forth but October was up double-digits over prior year in core and then started to slow. We got kind of bit by some of that same cancellation bug in December and actually took a couple of million bucks of the books that we had unwritten. For us most of that cancellation was in the auto category and really kind of around the dealer group business. We’ve talked before about kind of that disbanding and repurposing some of those dollars and that was little bit the case as we saw there. As we’ve gone into first quarter, I’d like what I see, January we didn’t have the problem with cancellations, January was healthy. As I said here today I see a quarter that is building and gaining momentum. We had a really good week this week and as a result of that, we continue to feel very optimistic that we are in a healthy first quarter.
Marci Ryvicker: Is our auto dealerships strong or would you say they are strong are up or?
Brian Lawlor: No, I wouldn’t. We had - so let me just address a couple of categories we were good. We had really good fourth quarter with most of our categories. We’ve talked about how important services is and that was up mid singles. We had our best retail quarter in several years up more than 12%. Travel and leisure was up double digits, food stores was up, home improvement was up almost double digits, media was up over 40%. So automotive was the one and it really was a result of those cancellations. We were kind of tracking right to be on plan in fourth quarter and we wound up down a little over one. As we look at first quarter we do see auto right now pacing down, as I mentioned the auto dealer groups is where we are seeing the erosion. Factories are kind of flat. We are doing really well with individual dealers. We were up about 20% in the fourth quarter and we’re seeing that as well. But just like last week Hyundai announced that they were disbanding their Tier 2 advertising and so in 2014 Hyundai was supporting about 75 markets across the US. Last year they cut that, but they were supporting 50 markets in terms of funding dealer groups and last week or two weeks ago they announced they were not going to fund any this year. So obviously we changed our strategy down, we got lot more aggressive with individual Hyundai dealers and so we have been reacting to this trend not just with Hyundai but with others for the last year or two. But I think that is kind of little bit of what we are seeing. Other categories look good for first quarter but I do expect auto right now to be down just a bit.
Marci Ryvicker: Okay and Brian one question, would your political number or forecast for the year be higher if Trump hadn’t been successful so far?
Brian Lawlor: No, we’re kind of lacking on this a couple of months ago, as we looked at the opportunity. We have eight big stations that more than 70% of our political is going to come from this year. We got three stations in Florida, two stations in Ohio, one station in Denver, Las Vegas and Milwaukee, those have been make big markets for us. Trump is an interesting dynamic, he is obviously spent less right now than some of the others and it remains to be seen what he will spend by himself. What we do know is Democrats are going to spend heavy, if money aren’t supporting pacts I think we are going to move the Senate races and at the end of the day if you want to get elected you going to have to spend some money. You’re not going to get elected on a 32 second sound bite on Today Show and Good Morning America; it is going to take a larger presence than that. So we think the money will be in the eco system, whether it is spent by Trump or supporting Trump or targeting Trump or whether some of that really moves to the Senate races, we like our footprint regardless and feel good about our number.
Marci Ryvicker: All right, thank you so much.
Operator: And next we will go to the line of Dan Kurnos with Benchmark Company. Please go ahead.
Dan Kurnos: Great, thanks. Good morning just a follow-up quickly in couple of topics that Marci was just bringing up. Just in terms of core, Brian, in Q1 again on TV side maybe little bit lower than some of your peers or sort of pacing even at Super Bowl I know you guys don’t have that exposure per se versus everyone else. But I guess if anything else you would call out either geographically or ratings wise, I know that someone else had called out ABC is kind of a self-performer for them is there any additional colors to pacing’s in Q1?
Brian Lawlor: Dan, I would just say kind of look at our total revenue number of up 11 and 13, I know inevitably we have the conversation of political versus core. The way we manage our businesses quite frankly is we go for the biggest opportunity dollar. And so once we kind of look at where our total revenues we kind of back into where we think political and the core will be, but lot of it’s the moving pieces. We still have eight more primaries in the next three weeks across our platform. So really, how healthy those are you got big Michigan, you got big Florida, you got big Ohio, so how much political we take there will really dictate what our core number. So maybe we are being little conservative on the core number, but I think more importantly what we see is a huge part of money in plus 11, the 13 and we will go for the best available dollar at every unit we sell and so we don’t say now we are going to pass it on thousand dollar political ad because we need to hit you know need to take $700 core spot. We will take the thousand every time and however it shapes out at the end, I think we will roll up to a number you guys should be pleased with.
Dan Kurnos: That’s fare Brian, that certainly more callout on displacement earlier than any of your peers and given entire margin obviously that would be beneficial to you so the top of color and just following up on radio again, I know you guys are placed with the underlying cash flow here but maybe if you want to talk about, Brian, if you want to link it together with some of the potential synergies you called out on the political side given your exposure with radio and TV in markets to capture upside in political if you’re starting to see that already and how you balance that out with just its overall core performance?
Steve Wexler: Dan, it is Steve and on political there aren’t necessarily TV, radio opportunities in political because they obviously act in different ways in different platforms. For us in radio political was really going to be a Wisconsin phenomenon with Brian mentioned Milwaukee were we obviously have big presence with our stations there. And then we see some political opportunities in places like Omaha because of its proximity to Iowa that is doable market for us. And actually some local races and places like Springfield and Tucson, but that is how radio landscape on political is looking for us.
Dan Kurnos: Okay fair enough and then Adam, so you don’t feel left out and let me ask you couple of questions on the tech side here. May be I’m thinking about it wrong, you’re really trying to establish Newsy’s brand; you’ve clearly gotten much better distribution here. I look at it kind of it as a national first type of platform but you obviously built out and have with local stations and Midroll, a lot of developing organic content that I would think you could ultimately embed in their on a more localized basis to A, enhanced monetization and B sort of improve viewership and retention. So just, if I’m thinking about it wrong I would like you to sort of correct me I know it is still early days there and do you have any thoughts on ultimately implementing some kind of forgetting OTT, but some kind of gating system for website viewership?
Adam Symson: No Dan, I think you’re actually thinking about it exactly right. We have done number of the things you mentioned on the Newsy today. Newsy is well showcased throughout our local digital products and in fact appears even over the air in for example, a couple of our local programs, The NOW for example, we have got a Newsy segment almost daily. So we do that for a couple of reasons. One, we think it brings benefit to our local market audience. Newsy’s content is really sticky, it’s developed for the digital audience and we develop good content for our local market both digital and over the air audiences, we want to make sure that we use it well there. And then finally, obviously we want to make sure that we are leveraging every opportunity we have to build the Newsy brand. So every time consumers are on our local websites and they are watching a Newsy video, we make sure they know that they can also subscribe to our Newsy Facebook page and find Newsy and all of the OTT apps. Primarily we do see it as a national business with scale, but sufficed to say we are absolutely taking full advantage of all of our assets to support our strategy.
Dan Kurnos: And thoughts on potentially implementing at least some kind of subscriber, it doesn’t have to be paid but at least some sort of signup gate for it on the Internet?
Adam Symson: Yeah, I mean we have been actually very aggressive through Newsy.com and also through some of the technical implementations we have with OTT in order to get that first party data or to create registration around the Newsy brand, nothing more than in many cases encouraging people to create a watch-list. So that they can sink their experience and their preferences across different platforms and Newsy’s audiences is highly engaged and so when we push our content that much more personalized and customer for what they are looking we feel like higher engagement. So we don’t have any plans to make it a paid subscription business right now, most of the OTT ecosystem especially around news and information isn’t paid, but we definitely see benefits to creating email gating and registration systems.
Dan Kurnos: Great and then just last for me on Midroll just how you think about the balance between growing out their paid sub business and continuing to ramp CPMs and supporting it via traditional ad model.
Adam Symson: Yeah, I think it is for us both of them were an important strategy. We think that there is a growing; we don’t think we actually are seeing growing audience advertisers in brands that are willing to pay good CPMs to get in front of these millennial audiences. So that’s going to continue to be very, very important part of the business at the same time when we are investing money and creating premium audio content in the beginning we might be making some of the shows free and then later putting them behind the wall because we know that we want to build that subscription base for that much more engaged power user. So we think premium like sort of build today is probably the right way to go for now.
Dan Kurnos: Great, thanks for all the color guys, appreciate it.
Operator: Our next question will be from the line of Michael Kupinski with Noble Finance. Go ahead please.
Michael Kupinski: Thank you and good morning, just couple of quick questions on Newsy, how many people have downloaded the app at this point.
Steve Wexler: So Mike, exact numbers on the downloads are difficult to determine because each one of the platforms sort of keeps records in its own way. I can tell you we measure the proxy for growth that we measure is in video view distribution and we saw 225 million video views in the fourth quarter. And that is up about 22% over the third quarter and up 30% power prior year. For the year, we did just about 800 million video views and that is again up 33% for the year over 2014. So what we are looking for is continued growth as we expand distribution even when we can’t necessarily determine the number of unique installs. Depending on the platform that, when I look at for example Roku, we got about 600,000 downloads of the Newsy app in Roku. And we are routinely in the top five, top 10 of news and information providers. And while we are happy with the number of downloads there and obviously always working harder to get more, what we are really excited about is when we see things like you know 30 minutes in terms of average session length, that is just remarkable in any digital platforms. So when we see that on Roku and we look at the demographics being millennial majority, we now are moving in the right direction.
Michael Kupinski: And I also understand that scaling your local digital business is important to bringing your digital business to profitability. Where do you stand in terms of the Journal stations being up the speed and scaling, I guess to the standards of where Scripps stations are?
Steve Wexler: Yeah Mike, so over the last two quarters we successfully migrated all of the Journal stations of the TV markets onto our platform, our revenue strategy and our content strategy, which was really important because not only this brings sort of financial efficiency to the cost structure but it also brings them under the same strategy. We are able to use our central content team to deliver national news, breaking news at the same time. Work with all of different consumer facing revenue products which we think is going to provide quite a bit of what we think is going to provide quite a bit of lift over the coming year. So we are there technically speaking we have hired now leadership in the markets to make sure that we have got the right focus and frankly we’re working really, really closely with the broadcast group and the newsrooms to ensure that new station play by the same playbook that other Scripps stations do. We think that’s exactly the path we need to get to in order to bring the stations, the entire collection of local markets to profitability over the course of the next year or so.
Michael Kupinski: And Brian going back to the political question, I know that in the past you guys have given pretty conservative guidance on political I know in the last cycle you actually raised your political forecast three times and I’m just wondering in terms of just looking at political aside from Trump issues are there any other particular market that you’re being a little bit more conservative on regarding may be gubernatorial or Senate races or things like that, that you feel that maybe might be little hedging a little bit?
Brian Lawlor: Hey Mike, look I love to be in a position where you call me sandbagger at the end my numbers up three times. I don’t look at this as a conservative number. I look at is a really in a realistic number but as I said kind of prepared remarks you know it moves and we know where our races are, we know where, we are in those six, what we think it will be highly contested presidential state, our five big Senate races, we have got two open positions one in Florida and one in Nevada and then Colorado and Ohio and Wisconsin there is incumbents. We got two gubernatorial, what we don’t know when I kind of referred to as early for example some of that pack money, if it doesn’t flow the presidential, it could then flow to the Senate races and so for us you know that may provide an opportunity for some of those markets greater than maybe what we modeled. But at the end of the day it really it’s about the footprint and as you have seen, but the Senate and the House races, if something within five points, it gets a lot of support. Once somebody get kind of advantage over somebody else of five points, the party just take their money and move to somewhere else neck and neck. And to sit here today and to be able to call I mean the kind of, we have modeled that where we think these hot races are and whether there is likely races, but at the end of the day you know something moves from three points to 7 points early on. And lot of that you know outside influence money suddenly moves along and goes to, if it moves to New Hampshire or North Carolina or Virginia, Pennsylvania that doesn’t benefit us. If it moves back into our market it does, really is if we are putting together a puzzle here is, we work through the year, but I think what we put out here is a pretty realistic number and with some tight races and some luck, hopefully we will be able to surpass it but if something’s get wide or some money does moves around little bit you know it could be in jeopardy. So I’m sure it to be ongoing dialogue with all year.
Michael Kupinski: And on the television expense side obviously some moving parts there and I was just wondering if you can differentiate for me, the difference in programming and syndication versus network comp, if we can give me maybe the magnitude of the percentage increases or decreases in that and just those two line items?
Brian Lawlor: Sure our total programming line was up 39% but syndicated line is down 30% really all of our –most of our programming expense the probably 80% is network affiliation numbers and I can say that if you look at all of our expenses Mike if you exclude the network affiliation or expenses were up 1.4%. So really the story is completely our increased fees to the network. But we do really nice job of cutting back on the syndication with and launching expanding our own shows across our larger footprint.
Michael Kupinski: And in terms of your network affiliation agreement are you seeing the network comp on your Comcast subs at this point?
Brian Lawlor: I think we are paying something. I think that is fair to say that no one saying - because we are not getting paid the kind of giving us a grace period that is not the case anymore. So I think we are paying something at least in most of those markets even though we are not really being compensated from Comcast on that. But all of that rolled up into our numbers and because of the significant numbers we have we got really good cover on that.
Michael Kupinski: Okay that’s all I have, thank you.
Brian Lawlor: Thank you.
Operator: We will move next to the line of Craig Huber with Huber Research. Go ahead.
Craig Huber: Yes, good morning. Likewise, I have some questions on the TV cost aside your outlook here for TV cost up mid-teens for 1Q and for the full-year. Can you help us understand if you take out network comp, what is everything else you think is in the up this New Year, particularly with employee line please?
Brian Lawlor: I think similar to what I just said Craig by the way it is Brian. I think it will be up everything else less than 2% probably more in the range of about 1.5%. So our compensations about 50% of total expenses and I think that is up low single digits and you kind of got everything else so you got national rep, you got neelson [ph], you got promotion, new services, helicopters, you got building maintenance, technology, research all that, so all of that with comp and everything rolls up to maybe 1.5% increase and all of the other expenses around network affiliation.
Craig Huber: And in the syndication line, Brian is that within that 1.5% to 2%, overall network comp, how should we think about syndication please.
Brian Lawlor: No, that is separate. So that is in our total programming lines and that number is down quite a big Craig.
Craig Huber: So will that apply 10% plus, you are thinking?
Brian Lawlor: It is, yes.
Craig Huber: New year, okay and then just to be clear these 5 NBC stations that were new here, whether this all started at the yearend or January 1?
Brian Lawlor: Correct.
Craig Huber: Okay, all synced up now?
Brian Lawlor: Yes.
Craig Huber: Okay and also can you just give a little bit more clarity place on the auto TV category, you touched on this before but maybe I missed part of it but how much was auto down in December can adjust quantify what January was auto, important category for TV please.
Brian Lawlor: And you, asking for December or for fourth quarter?
Craig Huber: December because you probably tell me there is lot of noise October year over year and that right
Brian Lawlor: No, October was great we are up double-digit in auto for October, because of the noise. December was down mid-singles.
Craig Huber: And how was January please.
Brian Lawlor: And I think January we were up mid-singles.
Craig Huber: And what did you say overall TV advertising, Brian in general that please?
Brian Lawlor: I don’t think we did. I think what we said we had a pretty good January and we are building moment through the quarter so -
Craig Huber: Flattish, a fair statement?
Brian Lawlor: Yeah we gave guidance for the first quarter on that and talked about poor and total revenue up 11% to 13% but we didn’t say anything about January.
Craig Huber: Then I guess lastly, what was the funding status on your pension right now, any contributions?
Brian Lawlor: We have an unfunded liability at the end of 2015 of about $200 million and we will be making pension contributions to the plan in 2016 of something between by $5 million and $10 million.
Craig Huber: Great, thank you.
Operator: And our next question will be from line of Kyle Evans with Stephens. Go ahead.
Kyle Evans: Hi, thanks for taking my question. Last quarter I believe there was some commentary about a slowdown in core TV related to, I believe what you guys call slowdown in the northern Midwestern I think you might of highlighted more of your Tennessee Station as well has that turned I didn’t hear anything about that in the call so far.
Brian Lawlor: Hey Kyle it is Brian, so when we reference that last quarter we were responding to specifically national. And when national was of a little bit, we can bring it up this time because national bounced back and it was you know down I think less than kind of neighborhood of flat. But you know I referenced on that call maybe eight markets and that kind of northern tier where we saw some national erosion and quite frankly, it really did not bounce back and most of them one or two of the markets moved positive but I did go back and specifically look at the same region and it was still tracking down a little bit. The good news was a couple other markets were tracking up quite a bit and they were able to cover that. So we got a big group and there is times where some stuffs down or other stuffs up and fortunately in the fourth quarter, all kind of balanced each other out.
Kyle Evans: Great. Adam, you have mentioned, I don’t believe, the lot of talk about Midroll and Newsy, could you give us a quick update on the WCPO premium pay TV solution?
Adam Symson: Sure, yeah, well, we’re making really good progress in building WCPO along with the broadcast side into a really strong local media brand here. I think what we saw with the veterans’ affairs’ investigation that I referenced as a manifestation of that, the ability to really upset the marketplace here and create a really strong journalism competitor. Essentially it’s throwing the whole market up in the air. I’d say that at this point, this is one of the few markets where you have a neck and neck competition between two strong digital competitors around news and information here in Cincinnati, the local paper, as well as WCPO.com and we are real happy about that.
Kyle Evans: Okay, and lastly, Tim, I think you mentioned early in the call an increase in broadcast OpEx related to getting in front of some of the political dollars that are coming down the pipe. Could you be more specific on exactly what that was? Thank you.
Timothy Wesolowski: Yeah, I can start and maybe Brian can add on as well. So, the TV group was very mindful about making sure that as the political race unfolds, we’re able to take the most advantage of that. There were some expenses in terms of promotion at the station. It would be one of them that we had in Q4 to make sure that we were where we needed to be and captured most of those dollars.
Brian Lawlor: Hey Kyle, it’s Brian, Tim just said we’ve been kind of looking especially at those eight markets that I’ve referenced earlier that will be over 70% of our political this year and so we’ve known for the last year that those are going to be really active markets and so the last year we decided to do everything we could to get the numbers tracking in the right way of realizing that we would be able to monetize any ratings growth that we could get some momentum on. So, we moved some people around. We added some technology in places, put a couple of more feed on the street. We added some promotion dollars. I mean, we did a bunch of different stuff. Each market was unique to a strategy that we developed for that market to try and move the needle with the expectation that any kind of ratings growth that we could start last year and get traction into this year, we would be able to monetize every dollar of that investment and I think that’s firstly [ph] what we’ve seen.
Kyle Evans: Great, thank you.
Operator: We have a question in queue from the line of Barry Lucas with Gabelli. Go ahead.
Barry Lucas: Thanks and good morning. Beating these political horses, Brian, if you look at the performance in Las Vegas and kind of what you are seeing today in Denver and maybe even national, I assume it's in whatever guidance you’ve delivered but are those markets tracking on plan, ahead of plan, behind plan, as you drew up political?
Brian Lawlor: Good morning Barry. Nevada was great for us. Las Vegas was terrific. That was obviously what the third state in the caucus primary order and so a lot of players, a lot of money, we outpaced our expectation there. You mentioned Tennessee, whatever it, and Denver.
Barry Lucas: Denver, which I - Colorado is Tuesday?
Brian Lawlor: No, I don't think it is. We have got Oklahoma, Tennessee coming up this week and those are kind of light states. We get Kansas on March 5, really so I think we’ll get a little bit of money there, but those won't be big markets for us. For us Michigan is on March 8, Colorado is on March 15, Ohio is March 15. We’ve got a couple of others that - we got Idaho and Missouri and all, but I think as we are looking the three big ones that are really dictate at the end of the day, how first quarter performs on political with Nevada now in the bank would be Michigan, Florida, and Ohio.
Barry Lucas: Right. Okay. Let me switch gears and talking around the digital stuff, Tim, earlier you had described kind of the investments that would be made in digital mainly in the local salesforce and I think you’ve touched earlier. But since then you have made a couple of acquisitions when you look at the guidance, strong revenue gains and by the numbers you are putting up essentially same kind of EBITDA was in the digital segment, is there a way to segment that local versus national? How much is investments spend? So we can get to a point where we see some light at the end of the tunnel?
Rich Boehne: Hey, Barry, it's Rich. Let me kind of give it to you sort of high level and then I'll let Adam give you a little more detail. As we said, if you look at the digital segment, you get several going on at the same time. The local piece, which I believe, as Adam said, is about 65% of revenue that more by the day becomes a noble business where we can see what we think revenue growth is going to be in the future and it's going to continue to be strong in essence of the expenses. So, that piece is moving toward profitability. But I have to tell you we could get it to profitability much faster, but we’ve not been in a big hurry. When we look at the impact also on the on air side or the digital airs, we have been pleased and just to continue to build we believe the market leading digital brands and we think there will be value there, so we get to profitability over the next couple of years and we could make that quick if we want to, but we don't think it’s wise. Midroll, the second piece is profitable and growing, although there is some investment in there as well. So, we add other elements to it and try to round out what is already a very strong position we have in podcasting. And then Newsy is the one I think I’ve talked about. We have an opportunity here. We are building a very strong brand with somewhat uncommon content strategy and programming strategy, carriage agreements with pretty much all the players. That marketplace will shake out over the next couple of years. But the faster we see growth in Newsy dealership probably the more aggressive e will be on the investment side. So, we sort of look at how the pieces fall together. We didn't budget that segment from a - we didn't start out with well - here is what revenue and cash flow in the segment. We’re focused on building value on real businesses inside of it and then the segment number sort of falls out at the bottom. But we don't want to show losses in any segment for any longer than we have to. But while we're building value, we are going to kind of keep our foot on the pedal. Here is Adam for a little more detail.
Adam Symson: Yeah, Barry, let me give you a little bit more detail I think relative to the way we look at the business. So, we’re guiding to revenue being up more than 40% in digital and if we really sort of look at the way we separate the different products and services, we’ve talked about the fact that in the past I think last year local was about 85% of our revenue and this year as Rich said, it will be about 65% of the revenue pie. So both of those - both sides of that house are growing really nicely and we think there is more opportunity obviously in local as well as the national side. So, local last year was up about 19% on an adjusted and combined basis and I expect that growth to be about in that zone in 2016. I’d expect our national products and services to see about 85% revenue growth this year and so I think you can see the businesses, as Rich said, are in different stages of their life cycle. There is a lot more faster revenue growth ahead in Midroll and Newsy and the other national scales of opportunities, while we still see a lot of opportunity, 17% to 20% on the local side for the coming year.
Barry Lucas: Great, thanks Adam. Last one from me, Tim, you gave a number of, I think it was 1.2 million shares repurchase since you got back in the market last spring. Could you give us that number for the fourth quarter and have you been in the market first quarter?
Timothy Wesolowski: Yeah, for the fourth quarter, we bought about 300,000 shares in Q4 and we don't comment about whether we are currently active or not. We have been buying under plans very consistently since the window opened again after the Journal transaction and we’d continue to expect - you and I have talked a lot about capital allocation over the last year, so 2016 will be a strong cash flow year from us and I expect that we will continue this all the above strategy of - pick up national digital brands, TV stations in attractive markets and continue with share repurchase program.
Barry Lucas: Thanks, Tim.
Timothy Wesolowski: Thanks, Barry.
Operator: [Operator Instructions] And we’ll go next to the line of Tracy Young with Evercore. Go ahead.
Tracy Young: Maybe not surprisingly I have a few more political questions. For Q4, was there a shift in terms of - you missed a little bit on the political dollars that I expected, was there campaign that didn’t happen or something that didn’t happen.
Brian Lawlor: Hey Tracy, it’s Brian. You’re absolutely right, there was one race that was the Kentucky gubernatorial and the candidate who ultimately became Governor, had very little money to spend through the process, so that alone was our shortfall.
Tracy Young: Okay and then looking back at the 2012 race, how much was the dollars for Presidential versus this year and local races, do you have any idea?
Brian Lawlor: We can get you more specifics. I didn’t break that out for this call. I think - Tim you just talked about this will be great [ph]. I don’t want to throw out a bad number to you Tracy.
Tracy Young: Okay, no worries. Thank you very much.
Operator: And we have a question queued from the line of John Kornreich with JK Media.
John Kornreich: Yeah, hi. I’ve been on this - I’ve been on the call since the beginning, I must have missed something in the last twenty minutes, because the stock has gone from being down 5% to now up 6%. I don’t know what I missed. You must have said something terrific Brian, that I missed and [indiscernible]
Brian Lawlor: I can repeat all the good stuff again John, if you like.
John Kornreich: Brian, what’s the activity on the retrans side for this year in terms of new contracts opening up? And in general what’s the contour for ‘17 and ‘18 gross retrans revenue and you get the 50% chunk this year, I assume ‘17, maybe levels are off for single digit and then picks up again big in three year or whatever, can you give me a sense of that?
Brian Lawlor: Yeah and I think you’ll get a sense of it, just kind of from the pace of all renewals John, so obviously we’ve talked publicly here about Time Warner getting done where we get the benefit this year, but really that was done at the end of last year. We still have another 19% of our subs that come up this year. We have two big deals that come up, one at the end of September, one at the end of October. Not one of the probably big - one of them is probably big, four or five and the other one’s in that next two or three. In 2017, we have about 10% of our existing subs that come then and then 2018 is another big year, where we get 34% of our existing subs come up in ‘18. So obviously the money will follow that pace.
John Kornreich: So it sounds like ‘17 will be another good year not like ‘16 in terms of the gross revenue and then ‘18 will quite down based on the prior activity and then stuff picking up again, is the fair enough.
Timothy Wesolowski: What I think we’ve said about ‘17 and ‘18 is that we expect a nice double digit growth in ‘17 and ‘18 and of course the Comcast contract comes due in 2019. So we’ll see a stair step increase when the impact of that kicks in.
John Kornreich: Okay, just to reconfirm Tim, you said for ‘16 the gross and then that will be right in line with each other.
Timothy Wesolowski: That’s correct.
John Kornreich: Okay.
Timothy Wesolowski: Very much like we’ve been saying for the past six months or so.
John Kornreich: And lastly, could you remind me, when you do the ABC network contract?
Timothy Wesolowski: At the end of ‘14.
John Kornreich: And then, so that comes up in ‘19?
Timothy Wesolowski: Yeah, it was a five year deal.
John Kornreich: Yeah, okay. Thanks a lot.
John Kornreich: Alright, I just wanted to Barry, I said to you Colorado was not on my list, but you’re right, the democrats are Colorado this coming week. Sorry to jump in.
Operator: [Operator Instructions] And speakers we don’t appear to have any further questions from the phone lines.
Carolyn Micheli: Thank you, Alan. Thanks everybody for joining us today. Take care.